Operator: Hello, and welcome to the Robert Half Second Quarter 2015 conference call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half, and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Max Messmer: Thank you and good afternoon. Before we get started, I would like to remind you that our comments today contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable; however, they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and 8-K. We assume no obligation to update statements made on today’s call. For your convenience, our prepared remarks also are available on our website at www.roberthalf.com. Click on Investor Center under the About Us tab, then the quarterly Conference Calls link. Now, let’s review our second quarter results. Second quarter 2015 results were $1.27 billion, up 9% from the second quarter one year ago, or up 13% adjusted for currency. Income per share was $0.67, up 21% from last year. Cash flow from operations was $142 million in the second quarter and capital expenditures were $16 million. In June, we paid our shareholders a cash dividend of $0.20 per share, at a cost of $27 million. We also repurchased 900,000 Robert Half shares during the second quarter, at a cost of $50 million. There are approximately 3.4 million shares available for repurchase under our board-approved stock repurchase plan. We reached the half-year mark with all-time high quarterly results, led by Protiviti and Robert Half Technology. Continued strong demand for our staffing and consulting services contributed to a record quarter. Overall, revenues grew by 9% over the prior year on a reported basis, or 13% adjusted for currency. Protiviti again reported excellent results, with currency-adjusted revenues up 23% from the previous year. Our staffing divisions also performed well, with revenues up 12% year-over-year adjusted for currency. As with the first quarter, growth rates were best in our U.S. operations, but we also saw nice growth internationally. This was Robert Half's 21st straight quarter of double-digit net income and earnings per share percentage growth on a year-over-year basis. Our unlevered return on equity was 36%. I’ll turn the call over to Keith now for a closer look at our second quarter results.
Keith Waddell: Thank you, Max. Global revenues were $1.27 billion in the second quarter. This is up 9% from the second quarter of 2014 on a reported basis, and up 13% on a currency-adjusted basis. Second quarter staffing revenues were up 12% on a currency adjusted basis. U.S. staffing revenues were $871 million in the second quarter, up 13%. Non-U.S. staffing revenues were $219 million, up 7% when adjusted for currency. We have 335 staffing locations worldwide, including 93 locations in 17 countries outside the United States. The second quarter had 63.2 billing days, the same number of days as the second quarter one year ago. The current quarter has 64.2 billing days, which is also the same as the third quarter of last year. Currency exchange rates had the effect of decreasing year-over-year staffing revenues by $40 million in the second quarter. Exchange rates decreased our year-over-year reported staffing growth rates by 4%. Each quarter, we include a supplemental schedule with our earnings release that shows year-over-year revenue growth rates for our various staffing lines of business on a reported basis, as well as on a same-day, currency-adjusted basis. The schedule further segments the data by U.S. and non-U.S. operations. You can find the schedule in today’s press release and in the Investor Center of our website. This is a non-GAAP financial measure that provides information on certain revenue trends in our staffing operations. Global revenues for Protiviti were $182 million in the second quarter, with $152 million in revenues in the United States and $30 million in revenues outside the U.S. Protiviti revenues were up 23% year over year on a currency-adjusted basis. U.S. revenues were up 24% and non-U.S. revenues were up 20% from the prior year. Exchange rates had the effect of decreasing year-over-year Protiviti revenues by $5 million in the second quarter and decreasing year-over-year reported growth rates by 3%. Protiviti and its independently owned Member Firms serve clients through a network of 75 locations in 25 countries. Gross margin in our temporary and consulting staffing operations in the second quarter was 37.3% of applicable revenues. This is an 80 basis-point improvement from the same period one year ago. The improvement includes higher pay/bill spreads, higher temp-to-hire conversion fees, and lower insurance and payroll tax costs. The second quarters of 2015 and 2014 include workers’ compensation credits of $2.1 million and $900,000, respectively, pursuant to third-party actuarial reviews of our workers’ compensation accruals. Second quarter revenues for our permanent placement operations were 10.1% of consolidated staffing revenues, which is unchanged from last year’s second quarter. Together with temporary and consulting gross margin, overall staffing gross margin improved 70 basis points versus one year ago, to 43.7%. Second-quarter gross margin for Protiviti was $54 million, or 29.9% of Protiviti revenues. Gross margin one year ago for Protiviti was $43 million, or 28.4% of Protiviti revenues. Staffing SG&A costs were 31.9% of staffing revenues in the second quarter versus 32.0% in last year’s second quarter. SG&A costs for Protiviti were 18.6% of Protiviti revenues in the second quarter compared to 20.2% of Protiviti revenues in the year-ago period. Operating income from our staffing operations was $129 million in the second quarter, up 16% from the prior year. Operating margin was 11.8% of revenues. Our temporary and consulting staffing divisions reported $105 million in operating income, an increase of 18% over the prior year. This resulted in an operating margin of 10.7%. Operating income for our permanent placement division was $24 million in the second quarter, up 7% from the prior year and producing an operating margin of 21.8%. Second quarter operating profit for Protiviti was $20 million, an increase of 65% from the prior year. This produced an operating margin of 11.3%. At the end of the second quarter, accounts receivable were $687 million. Implied days sales outstanding DSO was 49.1 days. Before we move to third quarter guidance, let’s review the monthly revenue trends we saw in the second quarter, and so far in July, all adjusted for currency. Globally, year-over-year revenue growth rates for our temporary and consulting divisions decelerated slightly over the course of the quarter. We exited the quarter with June growing at 10.7% as compared to 11.3% for the full quarter. Revenue growth for the first two weeks of July picked up to 12% as compared to the prior year. Global permanent placement revenue growth rates accelerated throughout the quarter, with June revenues growing at 15.1% as compared to 13% for the full quarter. For the first three weeks of July, permanent placement revenues also increased 15% compared to the same period last year. U.S. versus non-U.S. trends were not materially different. This information is designed to give you additional insight into trends we saw during the second quarter and so far in July, but, as you know, it is difficult to read a great deal into these numbers given the short time periods they represent. With that said, we offer the following third quarter guidance: Revenues: $1 billion, 295 million to $1 billion, 345 million. Income per share: $0.70 to $0.75 The midpoint of our guidance implies year-over-year revenue growth of 8% on a reported basis, or 12% adjusted for currency using current rates, and EPS growth of 15%. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today’s press release and in our SEC filings. Now, I’ll turn the call back over to Max.
Max Messmer: Thank you, Keith. We were pleased with our results for the quarter. As noted at the start of the call, we saw higher service demand and solid revenue growth for our professional staffing services and Protiviti’s consulting solutions. Year-over-year revenue growth rates were the strongest in the United States, where skilled professional talent is currently at a premium as a result of the tightening labor market. This is particularly true in the technology staffing area, where we have invested heavily over the past few years. We also are encouraged by the revenue growth in our non-U.S. staffing operations, notwithstanding the headwinds from currency exchange rates. Protiviti had another outstanding quarter, with a revenue growth rate of 20.4% versus the prior year. Adjusted for currency that growth rate is 23.4%. These are strong numbers and speak to the strength of the Protiviti brand in the marketplace. Protiviti is seeing strong and balanced demand in all of its principal service areas: internal audit and financial advisory services, risk and compliance, and information technology consulting. At this time, we will be happy to answer questions. We would request as usual that you please limit yourself to one question and a single follow-up, as needed. If time permits, we will certainly try to return to you later in the call if you have additional questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Mark Marcon from Baird.
Mark Marcon: Congratulations on the excellent results. I was wondering how you're thinking about future investments behind RH Technology and Protiviti, given that they're -- while your business continues to be very strong, there are some other signs from other companies out there that, maybe on a global basis and a US basis, there might be some deceleration that's occurring in various pockets. So, just wondering how you're going to -- how the investment outlook is being viewed internally.
Max Messmer: Mark, our view is - particularly at Robert Half technology and Protiviti, that we will continue to invest aggressively in headcount in both of those divisions. We're quite pleased with the results we've seen there. With Robert Half technology, unlike most of the other at least public providers that have technology staffing, we're focused primarily on middle market accounts. Middle market accounts, we're seeing more complex IT staffing needs that have been the case in the recent past and with that there is demand for mobility, cloud, security, app and web development, data analytics, the type of demand you typically have seen only at larger companies. So, given that demand that's drifted into our sweet spot, we're doing quite well with that and we continue to invest and that's our expectation for the second half of the year.
Mark Marcon: Great. If I can just follow up on that, with regards to some of the assignments that you're getting, can you characterize them in terms of, like, number of placements per account, in terms of how that's changed relative to the recent past?
Max Messmer: Well, the biggest change is that there are higher level skills versus what we've traditionally placed. It's still focused on middle market accounts, so it's still a relatively few people per account. So, there's not a huge change there, rather than or other than as I spoke about with the skill level. So, we're clearly advancing in what we call, check development in a way we never have, for reasons we just described.
Mark Marcon: Terrific. Thank you.
Operator: Our next question comes from the line of Andrew Steinerman from JPMorgan.
Andrew Steinerman: Hey, Keith. Could you talk about wage rate increases and bill rate increases? I surely caught that you said the gap has opened up. My question really is, are you seeing greater rates of wage and bill rate increases than you had in the recent past?
Keith Waddell: Sure. For the quarter, our bill rates were up 4.7% year-over-year, that compares to 4.1% last quarter. Our pay rates lag that by a little. We did expand our gross margins that we talked about earlier, that gross margin expansion is a combination fairly balanced between higher spreads, pay bill, conversions expanded both year-over-year and sequentially, we got to 3.4% this quarter, I believe it was 3.3% last quarter, and a year ago it was 3.1% or 3.2%. So, we're continuing to move up with conversions as well as lower state unemployment, lower workers comp, and as with currency, U.S. has a larger portion of the mix and the U.S. has a lower fringe factor burden to payroll than is the case with non-U.S.
Andrew Steinerman: And did wage rate accelerate? Wage rate increases accelerated like bill rate?
Keith Waddell: They did, but not quite to the same degree. We saw more of it in IT than in the other area. But frankly it was pretty broad based.
Andrew Steinerman: Great. And then generally you consider wage inflation actually a pretty good thing for Robert Half because of your ability to pass that thorough, right?
Keith Waddell: We do indeed, and not only traditionally have we passed it through, it's given us an opportunity to expand our margins a bit as well. And in fact that's just what we've done so far in this cycle and our pay bill spreads are approaching all time high pay bill spreads.
Andrew Steinerman: Well said, thank you.
Operator: Our next question comes from the line of Sara Gubins from Bank of America Merrill Lynch.
Sara Gubins: Hi, thanks, good afternoon. Following up on that, could you talk about what your guidance assumes for gross margin progression and SG&A spend in the third quarter, and plans for adding to temp and perm recruiter hiring in international markets?
Max Messmer: Sure, so at the midpoint of our guidance, we're talking sequentially flattish maybe up 10 basis points, which year-over-year is still going to give you 30 basis points which is a continuation of the trend that we've seen for some number of quarters. At the SG&A line, we're expecting as a percent of revenue to remain pretty constant sequentially, maybe up a tick or two year-over-year or gone up pretty aggressively higher the second half of the year that'll be focused heavily in Robert Half technology for reasons I think are obvious. But we're also going to do it on a pretty broad basis and therefore the operating leverage you might otherwise see we're going to reinvest in headcount because we're bullish as we speak, and therefore on a year-over-year basis you're not going to see a lot of operating leverage at the SG&A line. That said, you're still going to see operating margins that are quite healthy and we're very pleased that not only did our absolute revenues and earnings reach all time highs this quarter but our margins are as well.
Sara Gubins: Great. And then, separately, Protiviti is seeing very strong revenue growth. Are there further catalysts that could help keep the momentum going -- regulatory change, for example, or capital markets activity?
Max Messmer: Well first, we don't see any slowdown in sight with where we already are, which is pretty balanced between internal audit, financial services, regulation, and IT's, security, and controls. We think there is a nice runway where we already are, you've got things like new rev coming on board. Although that has been pushed back a year to 2018, although some companies are already doing diagnostics related work. So, data analytics is something else that we're doing some investing in there, small currently, but we're optimistic at what that might become. But the point is we think where we are has legs but that said, we do continue to plant seeds, building our further solutions and technology as an example, building out the breadth of our client base and financial services. So, we're far from running out of leg room in Protiviti.
Sara Gubins: Thank you.
Operator: Our next question comes from the line of Tim McHugh from William Blair & Co.
Tim McHugh: Just want to ask, management resources, I guess -- can you elaborate a little bit more there? I guess -- don't want to look at the one area that didn't grow as much; but, any color, I guess, on what you saw?
Keith Waddell: Well said, first of all we had our toughest comparisons and management resources as any other division. A year ago, the growth rate accelerated by seven percentage points, which was the most acceleration and the toughest compare we had. That said, management resources is our most project oriented division, it's lumpier than the others, we've said that for many quarters. We have some projects and we have some projects that were not as large as we had hoped for, and therefore we saw more deceleration there than we did in the other division. While we expect further deceleration in the third quarter, we certainly don't expect it to the same extent that we saw in the second quarter and we exited the quarter in management resources stronger than the tough compares would otherwise indicate, and by the way those compares get six points tougher yet again in the third quarter. So, management resources lumpier, more project oriented. We've been on the good side of those lumps for two or three quarters, this quarter we were on the other side of the lump, but we certainly don't think it's going to be here forever.
Tim McHugh: Okay. Great. And then the US perm growth rate accelerating a bit -- is there anything different in the market that you're seeing, or I guess would you attribute to investments in head count, or is it just lumpiness that we're over-analyzing, maybe if we look at the growth rates versus prior quarters?
Max Messmer: The market continues strong and firm. We have made headcount investments, clearly that's a factor in our growth but as we've talked about a few quarters now in a row, full time demand for staff the labor markets in the US are clearly improving and you see that first and foremost, which typical in our cycle in Perm placement fulltime hiring. So we’re optimistic about Perm we’re pleased where we’re revenue wise, with where we’re margin wise and we plan to continue to pretty aggressively add ahead to second half of the year.
Tim McHugh: Okay, thanks.
Operator: Our next question comes from the line of Randy Reece from Avondale.
Randy Reece: Good afternoon I was trying to get a little bit more of an understanding of, when you're looking at guidance for the third quarter, what you feel stronger about among the brands -- how growth rates could compare on a sequential basis. I just noted that your guidance -- if you look at it in terms of sequential growth, your guidance is actually a little bit better than the guidance you gave for the third quarter of last year.
Keith Waddell : Well we looked at trends this quarter we not only gave you the first few weeks of the current quarter we also broke out the last month of the prior quarter. We exited the quarter pretty strongly that got confirmed they were actually got better so far as short as it is in July. So now the guidance is certainly not a sand bag I think for several quarters for several years we pretty much call it like we see it we landed at the revenue line pretty much at the midpoint of our guidance for this past quarter. From a brand standpoint it’s hard not to feel best about Protiviti and Robert Half Technology, but that said there were certainly no big surprises with the other brands for the quarter just ended. And we don’t expect big surprises for the other brands for the quarter that we’re in.
Randy Reece: Was there anything in particular, other than management resources, that stuck out as a variance versus your guidance this quarter? It seems like that was the main thing.
Keith Waddell : Yeah, I’d say the other thing to a lesser degree is that we had of a bit of a mixed picture outside the United States. So we always talk about our big six countries. And for the quarter just ended we had deceleration in Canada, Australia, and France a little more so than what we had expected. That Canada and Australia related to minerals/mining/energy. France had some Canada tightness that got ahead of little bit. On the other hand Germany where we’ve invested the most heads also accelerated during the quarter that we were pleased by. But relative to our guidance for the second quarter we came up a little bit short outside the US for the three markets I talked about and for the record Belgium and the UK stayed solid their growth rate is pretty much remained intact versus what had been.
Randy Reece: Thank you.
Operator: Our next question comes from the line of Paul Ginocchio from Deutsche Bank.
Paul Ginocchio: A key for all my questions were answered so maybe just ask about the creative group. Can you just give us real size that since you got a new owner of one of your competitors and how you’re seeing creative trends so where is that located within your divisions. Thanks.
Max Messmer: Well Paul, creative group is doing and has done very well. We reported in our accountemps numbers I can say that the creative group has certainly grown faster than accountemps overall for many years in a row it has very good gross and operating margins we do some Perm business and creative group as well that’s group with Perm overall. That said we do not break it out we have not intention of breaking it out we grown that business organically yet very much consistent with the collateral of other practices. And we certainly weren’t surprised with the economics the margin structure the numbers that were reported by a competitor as you mentioned. But it’s not our intention to break it out.
Paul Ginocchio: Great. Thank you for that. And then, I've looked at some of the older staffing industry analysts' kind of revenue run rates of The Creative Group, or of the whole creative industry and the various players in it. Are their numbers roughly right, or -- ?
Keith Waddell : Well again we’re not going to break it out it’s doing very well we’re very happy with our organic growth approach and where we are and that’s about all we’re going to say.
Paul Ginocchio: Thank you very much.
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets.
Jeff Silber: Thanks so much. I hate to nitpick, but I wanted to focus on your permanent placements margins. They were flat on a year-over-year basis, and you actually pointed out you saw accelerating growth during the quarter. Was it because of the hiring that you mentioned, or is there anything else going on there?
Keith Waddell : Well what’s less first put in context the operating margins were over 20% and so I think what you see is there were 21.8% a year ago and there were 21.8% this year. So the growth you saw was the same as the revenue growth, which was impacted by currency pretty dramatically. So quite frankly we’ll take 21% operating margins for ever and Perm placement. So but more directly to your question we have added aggressively to heads in Perm placement we’ll continue to do so and to see operating income grow at roughly the same pace as revenue should not be a surprise. But let’s keep in mind in context that those margins were already very high margins.
Jeff Silber: Okay. Fair enough. If I can move on to Protiviti, I'm not sure if I have the numbers right, but it looked like you might have added a couple of locations in the quarter. Is that correct, and are there further expansion possibilities? You meant adding to headcount and you discussed that, and I'm kind of just curious if you’re going to be opening up new offices as well. Thanks.
Max Messmer: The location strategy for Protiviti is primarily for the new locations to be member firm or franchises as some call them. So to the extent we go to a new countries it’s more than likely going to be through that vehicle rather than as owned operations. We feel pretty good about our owned footprint as we speak so we don’t expect an expansion of our owned footprint, but we are in discussions with others that have sort us out frankly that would like to be Protiviti member firms and parts of the world that we don’t have a presence. While we’re talking about international Protiviti I’ll point out that once again we had a very nice international Protiviti result for the quarter as we spoke about last quarter we’ve seen major improvement in Asia and specifically Japan some of the economy has got better in Japan. We diversified revenue sources nicely financial services regulatory compliance continues to come on which we’ve invested in and we will continue to invest in Japan and Asia generally. So nice result for Protiviti non-US Protiviti Europe was also very good it’s been very good for a while Protiviti Australia very good result but from an improvement standpoint the most improvement came in Protiviti Asia where Japan did particularly well.
Jeff Silber: That’s helpful I just think it quick numbers quite sure what share count are you using for your EPS guidance and what should be the modeling for capital expenditures for the year. Thanks.
Keith Waddell : So CapEx we’re thinking $20 million, $22 million something in that range the share count will continue to tick down a little bit I’m not sure I have got that I’m just look in front of me 134.2, 133.2, it will continue to tick down as we bought shares and we would continue to buy shares. The other point I would make is the tax rate we think will come down 50 to a 100 basis points for foreign tax planning so rather that been the high 39s or hoping it will be in the low 39s for the third quarter.
Jeff Silber: Right that’s very helpful. Thank you so much Keith.
Operator: Our next question comes from the line of Anjaneya Singh from Credit Suisse.
Anjaneya Singh: Thanks for taking my questions. Just building on some of the questions that have been asked prior, I'm hoping you can touch on perm internationally. It's one of the few segments that's slowed despite very similar comps. Can you just walk us through what may be causing those dynamics? Is it just some of the slowdown you mentioned in Canada and France? Perhaps you could also remind us quickly on how soon we can expect head count additions in perm or other areas, to show up in your growth rates?
Max Messmer: Well, I would say the, the comments are made earlier about international generally would apply to international perm where perm is a bigger portion of our international business then it is of our U.S business so we’ve made most aggressive perm headcounts in Germany and Germany’s growth accelerated during the quarter impart due to those investments we didn’t have the quarter we wanted to have in Canada, Australia into a lesser degree France for reasons I’ve talked about and those would also address perm as well temp. So those countries are the place we saw the most weakness and that weakness was perm as well temp.
Anjaneya Singh: Got it. And I'm hoping you can also talk a little more about Protiviti. I know that it's been a topic on several quarters of calls now -- the sort of opportunity on operating margins, and getting to the double-digit range. And I know you've made a considerable amount of progress there, but it seems, if prior year operating margin trends hold, you should hit double-digit operating margins for the full year. So, wondering if you can share any updated thoughts as to where those margins could go, and how long it take to get there beyond this sort of 11% range.
Max Messmer: Well, the good news on a year to-date basis we already have double digit operating margins and we’re going into the second half were traditionally the second half margins are better than the first half margins so, we’d be quite disappointed if for the full year our Protiviti operating margins on higher than they are at the half year so we’re very pleased with the progress we’ve made on operating margins we would planned to see additional expansion we’ve talked about the gross margin levers of utilization leverage or the ratio of managing director to staff and bill rates, utilization is a nice high solid and we believe sustainable levels. Bill rates are improving, mid single digit similar to staffing may be a touch higher and we think we’ve got further leverage opportunities for the ratio of managing directors to staff. Overall the impact of which is it reduces your average payroll cost as you add more staff relative to managing directors so we’ll think, think we’ve got gross margin upside for the reasons I just described Protiviti is leverage their SG&A quite well and we would expect to see that to continue may be not to the same to extend that it has but we forever have said, we saw Protiviti as a low double digit margin business we’re now into that range and we stick by low double digit operating margins as its, as where it should be steady state which is where it is plus some.
Anjaneya Singh: Okay. Great. That's helpful. and one final quick one from me, touching back on perm. US perm is growing really impressively. And it seems -- I was wondering if you can just basically talk about -- or, is the demand -- is that -- can you discern any particular industries or clients that are driving that demand? Is it pretty broad-based, or is there anything discernible in the areas that demand is coming from? Thank you.
Max Messmer: Let’s say its broad based, we’ve talked a for we see candidate counter offers happening more often we see more fall offs which means they start with clients and they actually get a better offer go somewhere else which is also indicative of high demand for three, four quarters at least we’ve talked about that trend which continues as far as areas California would be our strongest state. I don’t think there is a secrete in Silicon Valley, they were quite well. Texas although impacted in Houston primarily by energy, Texas is still solid and is not what it was but it’s not what it was but its solid, Dallas much more diversify than as Huston but Huston doing okay, holding their own. New York solid, Chicago solid, so I would say perm generally speaking across the board is playing out pretty classically as you would expected to as the labor markets improved.
Anjaneya Singh: Okay. Got it. Appreciate the thoughts there. Thank you.
Operator: Our next question comes from the line of George Tong from Piper Jaffray.
George Tong: Hi, thanks good afternoon. Can you provide an update on the level of recruiter turnover, and whether you foresee any changes to incentive comp structure to drive retention, and what the implications could be for SG&A margins?
Max Messmer: Well, recruiter turnover I would say there isn't a lot of change there. We've talked about for years that at Robert Half we're a pretty demanding lot and for that reason there's a fair amount of turnover the first couple of years with Robert Half but frankly after the first or three years the turnover is almost nonexistent. And that's been the case for most of the 25 plus years we've been around and it's the case as we speak. As to our incentive comp plans like most companies we're always testing, changing trying to make them as incenting as possible to try to give our people as much line of sight as we can with their productivity and the compensation they get from that so, in the ordinary course we're always looking at our comp plans and now as no different than that so I don't there's no big story on either turnover or changes to comp plans but they’re both issues we have to deal with all the time.
George Tong: Got it. As you think about the three sources of gross margin expansion, which are rising bill/pay spreads, temp to perm conversions, and lower insurance and payroll tax costs, this quarter they contributed equally to gross margin expansion. Do you expect the impact to be relatively equal on the go-forward basis, or will certain factors contribute more than others?
Max Messmer: Well I would say given the progress we’ve made on bill/pay spreads. I think it’s probably on a realistic to think we're going to continue to make progress at the same pace where add all-time highs for our margins on spreads alone. The conversions were at 3.4% of revenue of historical range is 3% to 5% has been our hope sometime but that will least get to the midpoint of that which is 4%, there is 60 basis points there. On the fringes we still think we have upside on the state unemployment cost, which lag market conditions such that as the labor markets continued to improve so will our unemployment claims which will then in turn produce lower state unemployment taxes. We've gotten a little lift of late because non-US payroll tax fringe factors are higher than U.S. and particularly currency adjusted there is a less mix attributable to non-U.S. which helps the, the fringe factor overall so I think we still got upside in conversions which is pretty easy to quantify, harder to quantify but probably 20 to be aggressive 40 basis points of upside in taxes insurance with more for international mix depending on what happens with exchange rates. We're happy with margins are we're effectively at all-time-high staffing margins but we don't think we've run out of gas and we’ve said for sometime would be apoplectic if we didn't get new margins, new highs in this cycle and I think we're knocking at the door.
George Tong: Thanks for the color.
Operator: Our next question comes from the line of Manav Patnaik from Barclays.
Ryan Leonard: This is Ryan, filling in for Manav. Just a quick question on kind of the M&A front. There have been some other staffers out there who've been talking about looking to expand into some other areas, and maybe proceeding with some M&A. I know you guys like to focus on organic growth, but are there any new areas or any -- or, particularly in technology, anything you'd like to add onto your existing offerings?
Max Messmer: Well, I'd say the last - first of all you're correct and that we have focused on organic growth for a long time that's contributed significantly into our very large returns on equity which all by the way was 36% for the quarter which we're very proud of. The last five years more of our deals have been Protiviti oriented where we’ve built out their solutions based so I think it would be reasonable to expect in the near-term that we would be more acquisitive to do small to mid-size deals with Protiviti. As it does try to add to the breadth and depth of the solutions that they offer and staying pretty close to financial services, technology security control, project management, and to a lesser degree you can turn lot it.
Ryan Leonard: Great. And just -- you mentioned, kind of, the temp to perm conversion that -- 3.4%. We've been seeing a lot more of that kind of model being used by employers more and more. Is there a chance, if you look out a few years, that that 3% to 5% range shifts slightly, and you see it become more of an impact on the overall revenue for you guys?
Keith Waddell: Well I typically in a cycle it is a demand that limits the percentage it’s supply so I think there is not question many clients would love to try people out before they have to commit to them fulltime. But as the labor is improved and Canada it’s yet tighter clients don’t have the luxury of being able to do that they have to commit to fulltime from the beginning or they can’t get them at all. So I’m not sure that there’s some big shift going on which is why we’ve said if we can get to the midpoint of our traditional range there’s quite a bit of upside. Now if you want to take your high processes there and say we got to 5 then there is even more upside than what we’ve talked about. But again the limiting factor as the cycle improves it isn’t client demand it’s became the supply.
Ryan Leonard: Great, thank you.
Operator: Our next question from the line of Gary Bisbee from RBC Capital Markets.
Gary Bisbee: Just a couple of quick ones. The -- it sounds like demand in Protiviti remains very strong, but you do face considerably more difficult comparison, you know, the next quarter, and even more so in the fourth quarter. Any thoughts on how we should think about that? Is a moderation in the growth of several points a quarter a reasonable baseline to think about how the next couple of quarters might go? Thanks.
Keith Waddell: Well it's certainly reasonable to think a moderation of the growth rates would happen. That said, they've had really tough comparisons for several quarters in a row if you look at starting with Q1 even of 2014 it was 14, 18, 22, 26 so I mean they've had tough comparisons for some time and they've anniversaried them quite well. That said I’m going to assure our guidance assumes some moderation in those growth rates and they can’t defy gravity forever, but they've done a hell of a job anniversaring tough comps so far.
Gary Bisbee: Great. And then just a followup -- obviously, last year, your revenue growth in aggregate, and I think really for all of the businesses, or at least temp and Protiviti, accelerated throughout the year. Your guidance, I guess, implies a bit further deceleration, but less than the amount by which the comp gets tougher from a year ago. I guess, stepping back from all of that, just how do you feel about the demand outlook today relative to 6 months ago? We had a couple of quarters where you sounded massively bullish, and you sound a little more reserved tonight. Maybe that's just my reading of it. But how are you feeling about how the world is today? Thanks.
Keith Waddell: Well we feel good and the fact that the comps get tougher is something to be dealt with as you observed the comps get tougher by another 4 percentage points this quarter yet our guidance is only a 1 percentage point deceleration so that's less deceleration relative to the comps than we experienced this past quarter. We've had non-US recovery that's been more mixed and uneven and that's certainly impacted the growth rates as this has proceeded, but we feel good we've just talked about how from a headcount perspective, which is the investment most impacted by our outlook we plan to be aggressive adding to heads the second half of the year; and effectively the operating leverage that we would otherwise enjoy, we're going to reinvest in headcount. And I don't know what -- whether that means we're massively bullish or cautiously optimistic. I can't parse my own words. But we feel good about things
Gary Bisbee: Very good appreciate that. Thank you.
Operator: Our next question comes from the line of Dan Dolev from Jefferies.
Dan Dolev: Thanks for taking my question. Somewhat related to the question before, if you look at -- I know you don't guide more than one quarter ahead, but if you look at next year?s guidance, 2016, you're looking at about 10% revenue growth. You often talk about where gross margin expansion can come from. But can you maybe elaborate on, if there is upside to debt, where you see that upside coming from in your business?
A – Max Messmer: Well, we see gross margin expansion up is as we just discussed more conversions, less payroll tax and insurance burden we would expect over the medium term operating, classical operating leverage our margins that already have all-time-high margins in staffing and we would expect that we will expand those further over the medium term. For the reasons we've talked so we do believe we can continued to grow our bottom line more quickly than the top line.
Dan Dolev: And is there upside -- sorry to interrupt you. I meant more about the top line, in terms of where consensus is today, about 10.1%. Is there -- is that a number that misrepresents some of the strength in your business? And if yes, where could it come from?
A – Max Messmer: Well, as you started we limit our guidance to a quarter one quarter so it would be somewhat self-defeating the comment on 2016 at the moment but we're bullish we feel good about the future. We’ve told to put the trends on this quarter we’ve showed you how we exited the quarter? How we began the quarter that we're now in. That's pretty much all we can say.
Dan Dolev: Okay. Great. Thanks so much.
Operator: Our last question comes from the line of Tobey Sommer from SunTrust.
Tobey Sommer: Thank you. Most of my questions have been answered, as you'd imagine. But if you could comment, within IT, the extent to which the tech bill rates are maybe exceeding the average numbers that you characterize. And as you've invested for growth in that business, has the complexion of customers, either by size or geography, changed as you kind of moved upstream to larger employers?
A – Max Messmer: As to tech bill rates versus the average they may be slightly higher than the average but then they're not massively higher than the average as to the complexion as to client size and geographic concentration the size of our typical tech client has always been modestly larger than accounting and finance but not significantly larger it's certainly not fortune 1000. And as to geography, relative to how we're doing in accounting and finance, I don't think there's any large tech differential if we're doing well in California; we're doing well in California accounting and finance. And one's not necessarily outsize relative to the other may be the one exception to that would be in Texas we're still doing really well in tech and we've seen some slowing in Texas for obvious reasons otherwise.
Tobey Sommer: Thank you very much.
A – Max Messmer: Okay.
Operator: We have no further questions at this time I turn the call back over to Mr. Messmer for closing remarks.
Max Messmer: All right thank you very much. I guess that was our last question. As always keep that a very good job answering questions. I would just say that in conclusion we are optimistic about the labor markets for all the reasons, keep articulated is the strong environment we have a very good seasoned team. We have a excellent market conditions and we are optimistic going forward. So thank you for your time and we look forward to talking to you again next quarter.
Operator: This concludes today’s teleconference. If you missed any part of the call it will be archived in audio format in the Investor Center of Robert Half’s website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and the conference ID are contained in the company’s press release issued earlier today.